Operator: Thank you for standing by. Ladies and gentlemen, welcome to the Tsakos Energy Navigation Conference Call on the First Quarter 2022 Financial Results. We have with us Mr. Takis Arapoglou, the Chairman of the Board; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer. At this time, all participants are in a listen-only mode. There will be a presentation followed by question-and-answer session.  I must advise you that this conference call is being recorded today. And now I will pass the floor over to Nicolas Bornozis, President of Capital Link, Investor Relations Advisor of Tsakos Energy Navigation. Please go ahead, sir.
Nicolas Bornozis: I am Nicolas Bornozis, President of Capital Link, Investor Relations Advisor to Tsakos Energy Navigation Limited. This morning, the company publicly released its financial results for the first quarter of 2022. In case you do not have a copy of todayâs earnings release, please call us at 212-661-7566 or email us at ten@capitallink.com and we will have a copy for you right away. We will send you a copy by email. Please note that parallel to todayâs conference call, there is also a live audio and slide webcast, which can be accessed on the companyâs website on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please, we urge you to access the presentation slides on the companyâs website. Please note that the slides of the webcast presentation will be available and archived on the companyâs website after the conference call. Also, please note that the slides of the webcast presentation are user-controlled and that means that by clicking on the proper button you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contains certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties, which may affect TENâs business prospects and results of operations. And at this moment, I would like to pass the floor on to Mr. Takis Arapoglou, the Chairman of the Board of Tsakos Energy Navigation. Please go ahead, Mr. Arapoglou.
Takis Arapoglou: Thank you, Nicolas. Hello. Good morning and good afternoon to everyone. Thank you for joining our Q1 results call today. The world is going through a very complex and unprecedented period of contradictions and severe challenges. Itâs an event driven runaway inflation generated by the regretful war in the Ukraine and supply chain challenges. Although, we have full employment, yet we have declining numbers of workers willing to work, declining household income and less willingness of people to spend. We seriously believed the actions by central banks to quickly reverse long and accommodating policies originally put in place to stem growth after the economic crash and COVID. And the resulting rate hikes will put pressure on public and private sector debt servicing worldwide in an over indebted world, especially in emerging markets, and always, with a high probability of failing to avoid the recession in the process. All this results in serious unrest -- public unrest with extreme social repercussions, amplifying inequality and reducing social stability, yet these environments offer also opportunities to spend with a wide and stable footprint and its resilient business model fully captures, allowing it to grow revenues, so profits, reduce debt and do all the right things, renewing its fleet with state-of-the-art vessels and doing all this in full contrast we will experience. Although, the market given this very complex environment with low visibility may produce surprises on the way, TEN is very competent that it will continue to improve further its operating performance and letâs not forget that we are currently in a multiple event driven positive market, still waiting for the long expected group time to market recovery, which will be based on the existing very encouraging fundamentals. So thank you all for your continued support and I would like to now pass the floor to Nikolas Tsakos. Thank you.
Nikolas Tsakos: Chairman, thank you, and good morning to everybody. Itâs very good to be able to report net positive net income once again. Although, our company has never stopped to report positive operating income over a very difficult period, but we are very happy that right now we have also returned to positive net income and we are looking forward for second quarter that will be even stronger than the one we announced today. As the Chairman said, it has been a rollercoaster period. We started the beginning of the year feeling that things were going back to normal with COVID supposedly under control and parts of the world opening up to travel and business as usual. And then we were hit by the invasion in Ukraine, but has complicated issues a lot in operational matters for us, which meant that a company like ourselves with 32 vessels with mixed Russian and Ukrainian group has spent a lot of time and effort through our mining department, our human resources teams to make sure that everything goes smooth and we are very happy to announced and we are very happy and thankful to all our seafarers about their professionalism and we never had an incident between those two, I would say, sister or brother nation. It has been a worrisome period. However, we were able to maintain a steadfast on the wheel. We took advantage of the better environments in the beginning of the year to renew 15 new charters or extend charters on an average with 25% higher rates than the ones expired. In the meantime, our pool vessels in our pool mainly on the clean side are enjoying a very, very strong market. And the timely chartering of our two VLCCs has actually saved us the tens of millions of dollars, not only in profit, but actually from what we are facing today in a much harder economic environment. So, all in all, we are happy to announce that we have been able to maintain our problem on target. Took delivery of our LNG and chartered it in the middle of January, followed by our Shuttle Tanker in this month from Korea also on a very long charter. Sold one of our older vessels and we are taking delivery of a new VLCC with options for others going forward. So, all in all, we have been able to achieve this, being profitable, pay a dividend, increase our cash and reduce our bank debt. We are looking forward to a better second half of the year. The second quarter looks to be a strong quarter and we will be happy to maintain, of course, and increase our profitability that will enhance us further reducing debt and paying dividends to our shareholders. And with that, I will ask Paul to -- George to come with the operating part of the first quarter and thereafter. Thank you.
George Saroglou: Thank you, Nikolas. Good morning to all of you joining our earnings call today. Letâs go to the slides in our presentation. Starting with slide threeâ¦
Nikolas Tsakos: Sorry to interrupt you, but the first slide is a beautiful picture of the Porto just delivered, it looks like itâs -- it looks like a drawing, but absolutely, this is the actual ship and the actual -- and we are very proud of that state-of-the-art vessel. Thank you, George.
George Saroglou: Very good. Starting with slide three, we see that since inception in 1993, we have faced five major crises and each time the company thanks to its tested counter cyclical operating model that targets growth at market lows has come out stronger. This time is no exception. At the start of the year, it appeared that we were near the end of the COVID pandemic after almost two years. From the end of February, we were thrown to another crisis, the war in Europe that created new challenges for the world in our industry. In this difficult environment with sanctions and self- imposed sanctions on Russia, a major commodity exporter, changing trade routes for commodities including oil, oil products and gas, war and destruction, tragic loss of human life, we continue to stay the course and prepare the company for its net growth phase. We imported earlier this year newbuilding contracts for four dual-fuel LNG powered aframax tankers against long-term employment to a major oil concern. Last week, we had the naming ceremony of our latest state-of-the-art Shuttle Tanker delivered from a South Korean shipyard that is also employed against long time charter and today we announced the sale of the 2006-built LR2 aframax tanker and the acquisition of a 2020-built scrubber-fitted VLCC. Factoring this latest transactions the company has currently perform a fleet of 71 vessels for an average annual growth of 15% in terms of deadweight tons spanning over four decades. In slide four, we see the fleet and its current fleet employment. Almost 60% of the fleet is in the water has market exposure, a combination of spot CoAs and time charter with profit sharing and 60% is in secured contracts, fixed time charters, time charter with profit sharing and CoAs. This means that TEN is well-positioned to capture the positive market -- tanker market fundamentals. With global oil demand rebounding after two years and with shifting trade as a result of the war in Ukraine and the sanctions and self-imposed sanctions on Russian oil exports, we are already witnessing spot tanker freight rates reaching higher levels that lead to profitable operating results. Fleet modernity is a key element of our operating model. In general, we also took delivery of our latest LNG carrier named Energy and this vessel has immediately entered a five-year time charter that is expected to contribute to our bottomline as the LNG sector continues to enjoy strong rates. If you look at the slides, we have four remaining newbuildings, which we expect to take delivery from the fourth quarter of 2023. This forms part of our green ship initiative with dual-fuel LNG for max orders. All four vessels are coming with long-term employment attached, inclusive of the above charters TENâs minimum fixed revenue backlog exceeds $1 billion. Slide five, the left side presents the all-in breakeven court for the various vessel types in operation. We maintain a low cost base. During the year, the revenues generated from the time charter contracts was again sufficient to cover the companyâs cash expenses and we must also highlight here the purchasing power of this year and the continuous cost control efforts by management to maintain a low OpEx average for the fleet, while keeping a high fleet utilization rate year-after-year and quarter-after-quarter. Despite six special surveys during the first quarter of this year, we achieved an overall 93.3% utilization from the fleet. And thanks to the profit sharing element, which is a cornerstone of our strategy, our chartering strategy for every $1,000 per day increase in spot rates, we have a positive $0.39 impact in annual earnings per share based on the number of our vessels that currently have exposure to spot rates. Debt reduction in slide six has also been an integral part of the companyâs capital allocation strategy. The companyâs debt picked in December of 2016, since then we have -- we repaid $424 million of debt and repurchased $100 million in two series of step-up preferred shares that we had outstanding. In addition to paying down debt, dividend continuity is important for common shareholders and management. TEN has always paid a dividend perspective of the market cyclicality. About $0.5 billion in dividend payments have been distributed since the New York Stock Exchange listing in 2002. The next dividend is going to be paid in July -- on July 20th. Global oil demand continues to recover. Despite current headwinds, oil demand is expected to rise by 1.8 million barrels per day this year and another 2.2 million barrels per day in 2023. The forecast is to surpass pre-pandemic demand levels of about $100 million, starting from the second half of this year. Developed economies led the oil demand expansion in 2022. However, 80% of the expected 2023 demand growth is forecasted to come from non-OECD countries. On the global oil supply front, OPEC-plus producers continue to manage supply with monthly increases. However, countries outside the Middle East producers have struggled to meet their quotas. Global oil stocks continue to fall and are now almost 300 million barrels below the 2017, 2021 average. Non-OPEC production is set to rise in 2022. And as a result of the war in Ukraine higher oil prices, we had another coordinated effort to release in total of another 240 million barrels from the strategic petroleum reserves of the United States of America and major OECD member countries for the next six months in an effort to lower energy prices and counterbalance the effect of the world. Global oil demand continues to rebound, but letâs look at the forecast for the supply of tankers. The order book stands at around 5% or 255 tankers over the next three years, the lowest it has been in more than 20 years. At the same time, a big part of the fleet is over 15 years. We are talking about 1,600 vessels or 31% of the fleet. We also have almost 400 vessels or 7.5% of the current tanker fleet that is over 20 years. As the next slide shows, 2018 was one of the highest scrapping years of records with 21, 2 million deadweight tons removed from the market. Last year, we have seen an acceleration in scrapping from the second half and we ended up with 14.5 million deadweight ton removed. So far until May with 105 vessels of 8.5 million deadweight tons being scrapped. Scrap prices continue to be at high levels, currently hovering around 600 per dead ton and with more environmental regulations coming with discussions for alternative proposal fuels and at least 1.5% of the global fleet over 20 years, we expect scrapping activity to remain elevated and act as a balancing factor for fleet supply going forward. To summarize, if we look at oil demand, the rebound continues. At oil supply, we continue to -- we continuously see monthly production increases by OPEC, Non-OPEC production is set to increase in 2022, bringing more cargoes to the market at the time and global oil stocks are below the five-year levels and demand is surpassing pre-COVID levels. On outside events like the recent geopolitical event in Ukraine and the sanctions that followed, we have seen that it forced a large number of Russian state oil and privately held tankers to be excluded from trade, as well majors and oil traders boycotted these vessels, creating a supply squeeze, mainly in the aframax and suezmax sectors. We have seen a redraw in oil trade routes with heavily discounted Russian crude oil going to Asia, mainly India and China, and returning back to the OECD countries that have short refining capacity in the form of oil products, middle distillates, gasoline and kerosene. On the order book, the order book to the current fleet ratio is at historical low levels, a big part of the fleet is reaching phase-out edge pointing to a tighter supply of tankers for the next 18 months to 24 months. And if we look at the company, we have a modern fleet. We have already started with our orders that transition towards the next-generation of greener vessels. We have in the water and operating fleet that is well-positioned to capture the improving trade market. We have -- we continue to reduce debt. We have a very strong balance sheet and strong banking relationships that allows the company to take advantage of the opportunity that this market will present. And with that, I will ask Paul to walk you through the financial highlights of the first quarter. Paul?
Paul Durham: Well, thank you, George. So in quarter one, TEN achieved a net income of $6.3 million before minority interests of $0.8 million. This is compared to a net loss of $4.8 million in the prior quarter one. So we had a complete positive turnaround. In this quarter one, TEN increased revenue by $11 million, bringing our total revenue to $150 million in the first quarter. Of this, our time charters generated $83.4 million, which includes $1.3 million in profit share, while our spot vessels contributed $66 million, several of the vessels achieving spectacular rates. We had six vessels undergoing dry dock for survey purposes in quarter one, but still achieved 93% utilization for the fleet. The average daily TCE rate per vessel was $19,730, a 9% increase. Judging from the results of other tanker companies, this was clearly a strong average rate compared to average market rates. Total operational expenses increased by a manageable 2% over the prior quarter one, primarily due to increased voyage costs, which consisted mainly of rising fuel costs, while vessel operating costs did increase due to the addition of a splendid new LNG carrier and due to the dry docking schedule. Daily OpEx per vessel remained relatively stable at about $7,700, while daily overheads per vessel remained the same at only $1,200 per day. Depreciation fell by $2 million in quarter one due mainly to reduced vessel valuations accounted for in quarter four, while amortization of deferred dry dock costs increased due to the state of dry docks over the past 12 months. We had one vessel in quarter one that is classified as held for sale and was actually sold in quarter two for $21 million, with certain similar vessels under consideration for possible sale, depending, of course, on market conditions for product carriers that continue to do so well for us. Finance costs were half that of the prior quarter one, mainly due to cash gains of $10 million from our bunker hedges. EBITDA increased 13% to over $42 million, boosting our cash reserves substantially. In the quarter, outstanding bank debt fell by $44 million, bringing total outstanding net debt to $1.3 billion and net debt to capital down to 51%. As I have mentioned, there were some extra expenses in quarter one, but nothing unusual and indeed are already attended to by our technical managers. And so, our finances remain in good shape and we believe we will continue to be throughout quarter two and the half year as we -- indeed as we enter the third quarter, which we expect will continue to generate strong cash flow, allowing us to further focus on debt reductions and disposal of older vessels, at the same time, enabling us to continue rewarding our shareholders as we have shown. And now, I will give the call back to Nikolas.
Nikolas Tsakos: Thank you, Paul. And hopefully, the next quarter will be even better. And with that, we would like to have the opportunity to answer any questions that you might want to ask, please.
Operator:  Our first question comes from Ben Nolan with Stifel.
Ben Nolan: Hi, guys. I have a handful. Hopefully thatâs okay. The first one was I know that you in the release, you talked about having sold shares as part of the ATM program in the first quarter, just curious if that was still the case in the second quarter?
Nikolas Tsakos: The majority of the shares, I think, have been showed in the first quarter.
Ben Nolan: Okay. And I guess the reason that I ask is that I think, generally speaking, the shares have been below NAV. I am trying to understand the rationale for selling shares, and at the same time, buying ships at NAV, but selling shares at a discount. It seems like itâs an expensive form of capital growth?
Nikolas Tsakos: Well, we are -- we try to avoid whenever our cash flow is very positive like itâs today. The only reason we have used the ATM is for growth purposes. So our calculations when the market is, as you call it, bad when the shipping market is bad thatâs when the opportunities arise and thatâs the time that you need to put the projects down to buy chip ships. But today, just to put it in perspective have, just to tell you how, undilutive our actions are is that our LNG, which we purchased at $175 million or $176 million, today we have offers for $240 million. So we would not have been able to buy those ships $240 million. So and thatâs one of the ships that we have bought during the crisis.
Ben Nolan: Yeah. No. Thatâs a good answer and a good point. And also Nikolas, you may wish to add that the discount through the ATM program is much less than any other way?
Nikolas Tsakos: Yeah. There is no discount in the ATM program. But, again, we only use it when opportunities are right and right now, our cash flow, thanks to the market and mainly thanks to the product market, which is, I would say, is unpresent -- underrepresented in -- as long as I have been in the business to see our product carries earning six-figure numbers and not significant to our bottomline.
Ben Nolan: Sure. You would mentioned that asset value, specifically the LNG assets, but I think everything in general and newbuilding prices have gone up a little bit. You sold the one LR2. At the moment, does it feel like that buying opportunity that you are trying to sort of be opportunistic with respect to asset prices is sort of past the things no longer countercyclical with respect to value.
Nikolas Tsakos: We do want to, as you say, spin all the bids. But, I mean, right now, we have -- we are looking at offers, many of them with not even inspection on the majority of our ships from people that would like to buy our first-generation vessels that will net additional $50 million to $60 million profit to us. And I mean, so we are more sellers of first-generation ships. I think as George rightly said in his statement, we are looking for vessels that have -- that are fully environmentally up to new technologies if we were going to buy something. But I think right now, we are very satisfied. We are very satisfied with our VLCC and option purchases. The VLCC is the market, which is not out of the woods. Itâs suffering right now, not in our case, because preemptively we have chartered the VLCCs at profitable accretive rates, so we are not bleeding, actually, if you go back to Georgeâs slide to the breakeven just compare to put it in perspective. I think you can let it go. You can see that, I mean, our VLCCs are netting in excess of 30,000 in the market -- in a spot market of minus, if you were in the spot. So I think in every category, we are making a significant profit. And I think in the handysize and DMRs, the profit is, I would say, five-fold from the -- from our breakeven. So we are looking at a healthy second quarter and hopefully the third quarter.
Ben Nolan: Okay. Thatâs why -- and actually that leads into my question, we are literally a few hours away from the third quarter at this point. Can you give any color as to how given the exposure that you do have to the market, how you envision the second quarter to shape up with respect to cash flows or day rates or maybe just knowing that you might not have the exact figures, how -- maybe just as a percentage, how it might vary relative to the first quarter?
Nikolas Tsakos: Well, I think, just to put it in perspective, in the first quarter, I am going to move to this, but I think you will get, because you are very, very, very analytic in this. In the first quarter, we enjoyed one month -- less than a month of a good market. In the third quarter, we are enjoying three months of a good market in all segments.
Ben Nolan: Okay. So, yeah, well, we willâ¦
Paul Durham: Just one second. Is anybody there?
Nikolas Tsakos: Well, yes, right here.
Ben Nolan: Yeah. And then last -- I am glad you, hopefully, you can hear me Paul because my last question is for you. Interest rates are rising. I am curious what yourâ¦
Nikolas Tsakos: I think he does not.
Ben Nolan: Oh! Well, maybe he canât hear me. Maybe somebody else knows, whatâs the interest rate hedge position?
Nikolas Tsakos: We are about close to 50%...
Ben Nolan: Okay. Perfect. Whileâ¦
Nikolas Tsakos: â¦listen.
Ben Nolan: While I am asking about hedging, the way that you report your interest rates, you back out the bunker hedging. I am curious why you connect the bunker hedging to interest rate expense.
Nikolas Tsakos: I think it falls in the same risk category, but I will get Paul to call you if we cannot hear you and give you an answer on that. But your question on all the -- all our hedges fall under the same category account.
Ben Nolan: Okay. All right. Good enough. I appreciate it. Thank you.
Nikolas Tsakos: Thank you.
Operator: The next question comes from Liam Burke with B. Riley.
Liam Burke: Yes. Thank you. Appreciate the time. On your clean product tankers, some of your older vessels, we are looking at a very, very healthy spot rate environment versus very high asset values for the MRs. How do you balance whether or not to divest these older vessels as they exceed 15 years old versus riding the economic life?
Nikolas Tsakos: We need you advise too, but I -- we are actually struggling with this question. But I think there is the best time to divest from something is when the -- the buyer of your assets is also going to make money. So I think by not saying more, I think we are looking at ways to make our first-generation ships, they have a very profitable resale for us and hopefully make money for the guide down the line, so, yes, we have...
Paul Durham: This is London. Are we in contact?
Nikolas Tsakos: Yes. Paul, we can hear you. So this is our -- we are looking to invest right now and make a significant gain from our older vessels.
Liam Burke: Okay. Great. And as I am looking at your new builds coming online, the Shuttle Tankers, the LNG carriers, your revenues and cash flows are becoming less volatile and more predictable. How do I balance that with your capital allocation of paying down debt, paying down your preferreds and your dividend policy?
Nikolas Tsakos: Well, itâs becoming, I would say, yes, more predictable. However, the way we are structured right now, I think, every $1,000 increase in the spot market adds another $0.40 to our annual EPS. So we still have, I would say, we have 42 out of our 65 in the water vessels right now are enjoying the upside of the market through profit sharing arrangements, pools and CoAs. So we try to keep a balance which is always, again on that slide five. We want our time charter fleet to cover all our expenses and if you look on page five as we speak today, the more -- the time charter vessels cover much more than all our expenses. So whatever is left on the spot vessels is profitability and paying down debt, and hopefully, the preferred, which is our next target.
Liam Burke: Great. Thank you very much.
Operator: Our next question comes from Climent Molins with Value Investors Edge.
Climent Molins: Good morning. Thank you for taking my question. I want to start by asking on the VLCC acquisition. Could you provide some additional commentary on the specifics of the deal? And what was the reasoning behind this concrete acquisition?
Nikolas Tsakos: Thank you. Well, if you look at our fleet, George, please, can you split us, so on page four, you see we are  Sorry we have one more schedule that VLCC, which is not shown here.  Anyway, so you see we are a diversified company. We are almost 50% between products on the right-hand side as you look at and crude carriers on the left side. We have been light on VLs. We used to have more VLs going forward. And the reason, of course, is that itâs the only market that has not moved and people are very nervous. So these are big investments there. Itâs not -- itâs close to $100 million, hopefully less. And the other logic behind this is you should invest when things have not been -- are not overpriced. Newbuilding prices for exactly the same vessels are approaching $125 million, if not exceeding that. So if we buy something in the 1990s, I think, itâs a good investment going forward.
Climent Molins: All right. Thatâs helpful. You have consistently employed your assets in a mixture of time charters and spot vessels, which has been very helpful over the past couple of years. And I was wondering if your strategy has changed on the product side of the business after the recent strength? And following up on this question, what kind of rates do you see available if you look for longer term contracts?
Nikolas Tsakos: We have always depending on the market. We always like predictability. We are not funds for fixed rates because someone at the end of the day for a long period of time, either ourselves or our charterers are going to be, in a sense, on the losing side. So every time we are looking to negotiate, and I said, we re-chartered 15 vessels since the beginning of the year, the majority of them on a profit-sharing arrangement. So depending where the market is, we sit down and we accept a rate that covers all our expenses and then we are open to sell the upside with the major oil companies. And I think this method of employing our ships has served us well so far.
Climent Molins: Thanks for the color. And final question from me, do any of your aframaxes have the coating required to trade clean cargoes?
Nikolas Tsakos: Yes. I think we have -- right now we have two of them and building another four.
Climent Molins: Yes. Thatâs helpful. Thatâs all for me. Thank you very much for taking my questions.
Nikolas Tsakos: Thank you.
Operator: And I am not showing any further questions at this time. Iâd like to turn the floor back over to the CEO to -- for any closing remarks.
Nikolas Tsakos: Well, again, as I said, we would like to thank all of you for your interest in our company. We believe that we have been out of -- we are out of the woods. We are seeing demand growing longer routes because of the Ukrainian situation. There is a prediction that we will have a 7% increase on -- in ton miles, which is very, very substantial for 2023. On top of that, we will have a slow steaming, which will increase even further the demand from our side. And we are looking at an order book that for 2023 itâs going to grow for -- on average on tankers for 1% -- by 1% and a total order book over the next four years of 8.5%. So the fundamentals look good. I mean we have got news. I think we all saw the news yesterday from China. They are increasing by 50% crude imports and refining capacity to non-governmental institutions. So they are -- we were nervous, I would say, in the beginning of this month when the demand or growth in China was supposed to be 3% to 4%, but 3% to 4% in a gigantic country like that is still a significant part. So we believe that the fundamentals are there and we -- the sooner the world normalizes, the sooner we can have piece and quiet in the world, so we can trade all over the parts of the world. And as soon as the pandemic starts easing down, we expect to see a very firm tanker market. So we are preparing the company for that. We are taking advantage of the low market, which we did to build up our fleet with quality vessels, LNG vessels, Shuttle Tanker vessels, VLCCs and dual-fuel ships. And hopefully, for the remaining of this year and for sure for 2023, we will be able to enjoy rates that finally we will get our share price to where it should be. And with that, I would want to thank you. Wish you a very peaceful and restful summer for those of you that are planning to take a holiday from us here. And on a -- in-house note, we would -- we have a friend, a very good colleague and friend of us, Ms. Maria G, who has been with us for 15 years and now she is on her way to enjoy parenthood. And we wish all Maria, as she has been a very strong part of our accounting department has been helping us report 15 years of growth and I think the most important job for you is starting now. So enjoying Parenthood and thank you very much for all the efforts you have made for the company. Thank you, Maria.
Operator: Ladies and gentlemen, this does conclude todayâs presentation. You may now disconnect and have a wonderful day.